Operator: Good day and welcome to the Atos 2017 Annual Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Thierry Breton, Chairman and CEO. Please go ahead.
Thierry Breton: Good morning, ladies and gentlemen. Thierry Breton speaking and thank you very much for attending today our Atos conference call on our 2017 annual results. So I will be sharing this presentation together with Elie Girard, our Group CFO; Patrick Adiba, In Charge of Global Sales in 2017 and appointed as Head of North America. For information, Patrick will do this call and his presentation from Dallas where he lives now since November last year. And of course Eric Grall also with our here as Head of our Global Operations. I will start with the key figures and achievement of 2017 and an update on our strategy and of course our 2018 objective. Then Elie will discuss the financial performance. Patrick will discuss the Group commercial activity, focusing on digital businesses and we also develop his action plan for North America provisions. Eric will update you on the transformation programs. And finally of course I will come back to conclude before starting our Q&A session. So moving on 1st Slide, you can see some of our 2017 key figures which reflect well very solid performance that we reach again this year. Revenue reached €12.7 billion, increasing by 10.1% at constant currency and plus 2.3% organically, but realizing the good search momentum in our digital offerings in particular with the transition to cloud of several of our customers. Operating margin reached €1.3 billion, up plus 18% compared to 2016 at constant scope and exchange rate. It represented 10/2% of our revenue or 10% excluding the pension one-off as per our guidance of 10% which represent by the way of very strong increase by plus 140 basis point. The sales dynamics are strong and the Group order entry reached a record almost €14 billion. This represented a book-to-bill of 110%. But in Q4, book-to-bill reached a very strong 123%. This figure which demonstrates our strong commercial activity, materialized alignment of our comprehensive digital transformation factory with rising clients' needs. This is probably for me a big story of the year. And the next slide, still on key figures. Net income share stood at €601 million representing an increase by 11% compared to the excluding of the positive one-off contribution from size of our business sales last year. This led to an EPS of €5.72 per share, up by 9% year-on-year. Total number of our employees was 97,000 at the end of the year excluding scope effect and it's important, it represent a decrease by minus 4% compared to the end of 2016 and translate our will of having a Group hiring adaptation in anticipation of the implementation of automation and focusing on digital transformation skills. The Group pursued a strong digital training and reskilling of its team. This is a very important project for the Group and me personally. Free cash flow reached €714. This materialize a significant improvement of the operating margin conversion cash reaching 56.5% in 2017. Finally, Group net cash position was €307 million at the end of 2017, which is a positive cash position, it's a strong cash capability to finance the future development, a very important subject to us. All in all, this represents a very strong set of result and that's why the Board of Directors decided to propose to the next AGM of our shareholders dividend in 2018 on the 2017 results of €1.70 per share with the options for payment in net of shares. On to slide, the highlight of the year. I am pleased with large contract we singed in digital businesses which materialize a success of each of our four pillar of the Atos digital factory. Now Atos Digital Transformation Factory represents now 23% of the Group revenue fully in line with our 40% target in 2019. On top of the Digital Transformation Factory, we are clearly growing in other digital activities such as Cyber Security, Big Data, Digital Consulting and Tech Projects, Digital Payments, Trusted Digitization, e-Ticketing, Mobility Solutions, Connect and Living, everything which is related in digital now. This was notably possible, thanks to digital training and skilling and because we continue our investment to interest to Group technology lead, in particular in Cognitive Solutions, Cybersecurity, Automation and Deep Learning and Artificial Intelligence and Quantum Computing. In 2017, we continue to execute our M&A strategy. We are quite on targeted companies in the payment area, in secured communication networks and Cybersecurity, in healthcare consulting in the U.S. and in cloud orchestration, we are investing the Atos footprint and digital capacity. All in all, we perfectly executed our strategy in 2017 and Atos team have built a unique foundation to keep delivering our 2019 ambition matching new expectation for our customers gaining new market shares, driving mobile growth and continuation well of course continuing to enhance value creation for our shareholder. Obviously, we remain focused on our ongoing productivity and operational efficiency to deliver in 2018 another year of progress fully in line with our three-year plan. Let me say on the next slide one word on corporate and social responsibility which is extremely important for Atos and fully embedded in our DNA and grow values of all our businesses and operations. Atos has recognized as a global leader in CSR by independent external agencies such as DJSI, Ecovadis, is a global reporting initiatives and the CDP. We have set ambitious profile for targets for our environmental and social performance in our 2019 ambition and we are making good progress towards meeting them. I believe that our excellence in this area is a key differentiator for us in a very competitive market as our plans expect from us nothing less than our world-class performance in CSR. And I would like to add that it is also important for all the new talents that we hire. On to the next slide. That's important we call for Atos customer 2017 was the year of digital bye-in. It was exactly the year of digital buy-in. You can see on this slide the progress made in selling our Digital Transformation Factory as I said earlier fully on track is a bit in advance to reach our target 40% revenue in 2019. Just to remind you that the Digital Transformation Factory is a growth engine of all our cloud and digital business and growth engine for the Group. And that have shown as I said of digital technologies by our customers is now definitely going full speed and this is a subject which is now discussed as a level of the board of each of our customers. That's the big story of 2017 if you like to ask me, what was the key major point? And by the way this story, we'll of course continue even strongly moving forward. By the end of last year, we changed our habits and our way to work with our customer but we will tell this furthermore. So on to next slide, Slide 10. You will see that what does it mean for us, what does is mean for our customers? For our customers 2017 was probably marked by the immigration to the cloud. And by the way you can see that even if they do this, we continue to grow our hidden business. Because again we took this very early and we are extremely strong, Eric will tell you this, in our strategy and with that strategy. All our customer recognize indeed our cloud has way to go in order to consolidate, simplify and automate their IT with operational agility and flexibility while and this is very important that I said just now while keeping the control of their data. That's also the big story of 2017. And in this context of course, the Atos Orchestrated Hybrid Cloud is a majority platform and our capacities in automated migration and transformation as well as cloud security is strongly eating the market and we now by the way generate more than €1.1 billion revenue in this business where I think we are clearly recognized as a leader. Application transformation is also driving the growth in this business. Challenges include application portability to the cloud and application skills. Atos has significant expertise in the automated tool and its cloud migration to migrate, modernize and transform critical businesses applications. Next slide, important one also. Cybercrime is growing exponentially, notably Ransomware. More than 3 million recalls are compromised every day and cybercrime cost are projected to reach up to 2 trillion in 2019. In this context, company's awareness is strongly increasing and the demand acceleration is very high. Enterprises starting to invest more in Cybersecurity now that we establish and maintain the highest level of security and to be compliant to the regulation such DGPR. That's a big investment that we have do and that companies also have to do and especially this year. This is a business where we are where we developed a high added value of serve to the big demand of our clients and where we intend to reinforce our leadership. In 2017, we launched our new perspective security operation centers making possible to predict security strips before or just when they occur. Next slide, in term of customer buy-in of digital technology, we saw in particular attraction in the immigration from classical to digital workplace. And that's a new part of business and important strategy for all our customer in this area. It's a huge revolution of users' habit with more and more professional continuously connected the cloud and only using tablets and mobile phones everywhere. Our leadership has been further reinforced in this business in 2017. It is very important by the way and to control and to maintain this with our customer. With more than €800 million as we continued our investment in digital offerings leveraging our smart unify digital technology in order to deploying consumer experience in enterprise. Next slide is slide that I think it's extremely important for us and for our future. In Artificial Intelligence what is putting you is a maturity of deploying technologies enabled by dedicated algoid and new high performance overall. I keep repeating no Artificial Intelligence without phase of deploying data and high performance computing power. Let me remind in this period, four elements needed for AI. Frist of course, deplaning our Infrastructure & Data Management activities put us in a unique position to value the huge demand of data that our customers are creating and contouring on a secured basis. Second, the deplaning level, we have a very strong team in algorithm and we are very active in enhancing and outstanding ecosystem for partnership and new JVs. Third, high performance computing. We process the deplaning phase on our own computer system which is one of the best in the market with Sequana, Bullion and Atos Quantum leaning machine that we launched in 2017 to develop and test today to Quantum application and algorithms. Plus the first three months is absolutely key, it represents a capability to integrate the three prior element in Artificial Intelligence value added solutions for our customers in order to exam, to reinvent their business model. With Atos Codex, we are able to develop verticals end-to-end solution. And what is important is to understand that we monitor all this. We continue to enhance the model, the knowledge and the design of dedicated hardware to be able to extend our capabilities wherever our customers we needed and more generally speaking, Artificial Intelligence is a technology of most of the solutions that we are developing notably automation and Cybersecurity and which we call more intimacy, more of our skill people closer and closer to our customers. On to next slide, Slide 14. For Atos customer after a year of digital buy-in in 2017, what will be 2018 and 2019? For us and for our customers, it should be the year of digital dividends. They expect already to have as early as this year dividends from this move as they started last year. And that probably by the way we continue to enhance this year. With the hybrid cloud, we will enhance the digital against in operation, agility and flexibility, coached and control of this allocation. Thanks to our holistic offering in Cybersecurity. They get the highest level of security while being compliant with the European regulations and in particular with a famous GDPR. After having digitized their workplace, our customers and employee will be able to deal efficiently around the clock with the multitude of service of devices and channel of communications wherever they are enjoying real time collaboration capabilities with colleagues, partners, customer and so on. Finally, thanks to AI rollout in the operations, our customers start benefiting from new tools such as predicament announce, digital marketing, perspective security operation center or automatized for detection. As we want, our customers to get the dividends of the digital buy-in again as early as 2018, we organize, it is our duty and my responsibility to organize ourselves to transformers to examine to get it again as early as this year, which is what I will develop on the few next slide. So the next Slide 15. This is very important to me and to Philippe Mareine, our Global HR. This repellent also very important transformation program of Atos. We have indeed in 2017 massively increased the digital human capital of Atos like never since I'm running as a company, delivering on our digital reskilling and competence building program. First, Tier 1 university program. We have established stricter relationship with the top 100 one leading universities across the globe and we have recruited in 2017 we called high number of 1,100 top digital graduate. We aim to double again this number in 2018 coming again from the top one universities in the world. In addition, we have delivered 35,000 digits certification to our employees in 2017, presenting in 16,000 new employees fully trained 2017 on digital technologies. In 2018, we plan to further accelerate and certify now 21,000 employees on digital. Finally, we have extended in 2017 by 1,500 of scientific and R&D community of experts. We plan in 2018 to further develop this community. On to next slide. Many of our digital solutions rely of course of partnership. But again to have a strong partnership environment, you need to be strong in certain technologies, is exactly our strategy. This is particularly true in business analytics, cognitive computing, robotics and community solutions in 2017 to go by signing separate partnerships - new separate partnership I remind which for example Cisco of course Dell-EMC our strategic partner, Hitachi Data System to resell Atos high speed at their customer. We also renewed and extended our innovation corporation and also our R&D joint program with Siemens and also so with the Dell-EMC as a corporation and several leading orchestrations of vendors. And we keep of course announcing this ecosystem you will probably see more in the year to come. Next slide. As I told you, it's my responsibility to always adopt us to the new evolution and the need of our company. As you can imagine, we increased our revenue while decreasing the number of people. We are closer and closer to our customer in the Digital Information Factory. So I thought it was time to adapt our organization in order to deliver the digital dividend to our customers. And this is why I have decided to reinforce the group top management team and to enhance our operational governance. First, operational governance was enhance [indiscernible] have been promoted as VP, Patrick Adiba was appointed Senior Executive Vice President, CEO, North America Operations and he will be replaced by Robert Vassoyan joining from Cisco as a Group Chief Commercial Officer. Michel-Alain Proch has been appointed as a Group Chief Commercial Officer, Michel-Alain Proch, has been appointed Group Chief Digital Officer to lead as a group internal digital transformation strategy. And of course Gilles Grapinet will continue to be part of the General Management Committee of course in developing Group Strategy and to ensure value to deliver expand shareholder and employee more and more value. This committee now made of a six people, will be next week in charge of coordinating with me the global operation of the Group. Again to make sure that our customers will get as early as in 2018 digital dividend. And you see also that we made some few adaptation in our Executive Committee with Ursula Morgenstern being now the CEO for Germany; Sean Narayanan, Head of Business & Platform Solution, he was previously as a COO of these portions, where he's been promoted to CEO. Giuseppe Di Franco was running before Italy very successfully, he is now leading all CEO in Central & Eastern Europe. So you have some few the adoption that I made again in order to make sure that we will deliver the expectation of our customers. And I would like to end this first part of our presentation while remaining you first our financial target that you will recognize see on this Slide 18 which is for me again what we will do that's the commitment of the company. And then of course to make sure and to consolidate our ambition in 2019, the objective for 2018, between 2% to 3% in organic growth and operating margin rate between 10.5% to 11% of revenue and Elie will comment on this increase versus what you had probably before because of IFS-15 but Elie will comment this and a free cash flow at 60%. So Elie, you're ready now to detail all of these. So Elie, the floor is yours.
Elie Girard: Thank you, Thierry. Good morning, everyone. I'm going now indeed to cover in more detail of the operational and financial performance in 2017 and provide you indeed with some details on how we plan to reach our financial objectives this year. Let's start with the usual reconciliation between statutory and organic figures for both the revenue and operating margin with the particularity here as we integrated unified communication and collaboration formally called Unify S&P which is the reason why you have a column called restated for 2016. Exchange rates negative impacted by minus €187 million statutory revenue. This mainly came from the British pound and the American dollar depreciating the euro. So compared to the 2016 reported figures, revenue at constant exchange rate grew by 10.1% in line with our guidance of 10%. The integration of Unified Communication & Collaboration for eleven months represented a full year 2016 revenue restatement of €420 million leading to a €12.138 billion 2016 restated revenue.
, : Operating margin reached €1.292 billion representing 10.2% including €28 million for pension one-offs and therefore 10% excluding them in line with our objective of just a 10% of operating margin. Next slide presents of the performance by division. I'm going to comment in the next four slides each of them, but just in a nutshell, in 2017, revenue growth at plus 2.3% organically was particularly led by the Atos Digital Transformation Factory which represented 23% of 2017 revenue that is 13% in 2016 answering the strong demand of large organization for that digital transformation. Also an important point is that each division generated a positive growth every quarter last year. Operating margin was €1.292 million, representing 10.2% of revenue compared to 8.9% in 2016 at constant scope and exchange rate. This improvement by 130 basis points was led by fast increasing hybrid or private cloud business in certain countries equal and unified and it continues execution of the top transformation program. In 2017, the Group continue to execute its pension schemes optimization plan which resulted in operating margin one-offs for €28 million, compared to €41 million in 2016. Excluding these effects, the Group profitability was up 140 basis points at 10.0% in 2017. Let's now focus on Infrastructure & Data Management revenue was €7.144 billion, up plus 0.9% with a significant growth in strategic areas such as Cloud Digital Workplace and project in Technology Transformation Services. Indeed, growth accelerated with new Digital Transformation Factory contracts won in several geographies as the Division continued to successfully transform the IT landscape of its main clients and to roll out automation and robotization. In particular, Orchestrated Hybrid Cloud showed a strong traction with clients such as BBC in the UK, Group in France, Dutch Police and Taco Bell in Benelux & the Nordics, Henkel in Germany and Vodafone in Central & Eastern Europe among others. At our Digital Workplace and SAP HANA were also boosted by contracts with Siemens in Asia Pacific, Vienna Hospital Association in Vienna in Central & Eastern Europe. Growth materialized primarily in the public and health sector notably in North America. Thanks to increased volumes and additional scope, new contracting fronts and higher volumes in several European countries. Financial services benefited from the ramp up of new large contracts in the UK, in the Netherlands and in France, while growth in Asia Pacific was sustained by higher volumes with its banking customers. Manufacturing Retail & Transportation was stable, increased volumes with Royal Mail Group in United Kingdom and ramp-up of the new contracts in Rheinmetall in Germany, Monsanto in North America, in France as well as Philips and Taco Bell in the Netherlands compensated for Unify. Finally, Telcos Media & Utilities fate the re-insourcing of parts of the BBC contract further to its renewal last year and scope reduction with some customers in North America. Operating margin in Infrastructure & Data Management was €752, representing 10.5% of revenues. This improvement of 90 basis points compared to 2016 and plus 100 basis points excluding pension one-off resulted from the migration of customers to cloud based infrastructures in highly automated and robotized delivery in a further industrialized setup generating significant productivity gains with a staff reduction by minus 5% over the year. Operating margin improvement was also led by continued tight cost monitoring and strong project management. Additionally, the division benefited from cost synergies from Unify. Profitability improved across most of their geographies in particular France significantly increased its gross margin and continue to tightly monitor its costs. Significant profitability improvement derived from revenue growth. Germany also significantly improved, thanks for the Unify restructuring completion. United Kingdom and Ireland manage to maintain a high level of profitability despite cost reduction and a decrease in pension one-off. Finally, the U.S. remained at double digit operating margin. Next slide regards Business & Platform Solutions. Business & Platform Solutions revenue reached €3.243 billion plus 2.5% after plus 0.8% in 2016. Growth acceleration mainly came from the success of the Atos Digital Transformation Factory, in particular new Atos Codex contracts for several customers in countries such as France and Spain, SAP HANA contract in Germany with Siemens, and Asia Pacific with Betagrol and several customers in Benelux & The Nordics. To a lesser extent, digital workplace also contributed to the growth with several projects in France and in Germany with the Ministry of Defense. Public and health was the main growth contributor with an increased level of project in the U.S., in Germany and in APAC and the delivery of the proprietary works for the Olympic Games in Asian martial games project. Manufacturing retail and transformation also strongly grew, thanks to the ramp up of Rheinmetall and larger volumes with Siemens in Germany as well as several contracts ramping up such as Coca Cola. In Telecom, Media & Utilities, the base effect of large transition projects delivered last year in 2016 to Telefonica and Nokia in Germany was partly compensated by the ramp-up of contracts in Central & Eastern Europe and new business in Iberia and South America. Financial Services fate fewer projects mainly in France and in Iberia while the activity increase in Germany in the UK with NS&I. Operating margin was €245 million, representing 7.6% of revenue, an improvement of 110 basis points compared to 2016 which is 150 basis points excluding pension one-offs was mainly attributable to revenue growth. The implementation of the Application Management Industrialization program, and the successful workforce management materializing in an average daily rate improvement and a reduction by minus 4% of the direct work force. The Division continued to invest in innovation, mostly for Atos Codex and SAP HANA by Atos offering. Main contributors of profitability were France, North America and other business units. On the next slide, Big Data & Cybersecurity. Revenue in BDS was €754 million, up 10.9% organically, pulled by the extension of the Division's markets both in terms of industries served and geographies. In particular both was driven by Cybersecurity services while customers' investments are increasing to face more and more sophisticated cyberattacks. The activity was particularly strong with the signature of new projects with customers such as Xerox in North America, Department of Energy & Climate Change and BBC in United Kingdom, as well as Nokia in Germany. The performance was also driven by the sale of the Bullsequana, one of the most powerful computer in the world to the research center in Germany to Genci and by new business in Africa which more than compensated the decrease of license sales achieved in 2016 for legacy service in France and in Benelux & The Nordics. Machine critical system remains stable, thanks to new business with a German government compensating less projects in Switzerland. Operating margin was €114 million, broadly stable compared to 2016 and representing 15.2% of revenue. The Division managed to record a double-digit growth while investing in innovative solutions and products as well as extending its international footprint in geographies such as Germany, North America and Middle East & Africa. Let's now turn to Worldline on the next slide. From a contributive perspective to Atos, Worldline revenue was €1.550 billion, improving by 4.3% with an organic growth in H2 reaching 6.4%. Growth was led by increased transaction volumes with merchant services and financial processing business signs. Indeed revenue for Financial Processing was up plus 6.6% organically to €705 million, pulled by increasing volumes and high project activity in all its businesses: Issuing processing, Acquiring processing, Digital banking, and Accounts Payments. Merchant Services revenue grew organically by 5.4% to €531 million, driven by positive business trends further to the demonetization in India, higher volumes in Commercial Acquiring, and thanks to Private Label Cards & Loyalty services in Spain. Revenue in Mobility & e-Transactional Services was down by 2% to €314 million. On-line activities such as Trusted Digitization, e-Ticketing, and e-Consumer & Mobility, mitigated the effect of the termination of the Radar contract in France which affected Worldline growth in H1. Excluding that effect, growth in Mobility & e-Transactional Services would have exceeded plus 9% in 2017. Worldline signed new contract in cumulative areas in particular in cognitive leaving with customers such as Reno [ph] in France, Siemens in Germany and BSH Home Appliance in China as well as in product Fraud Risk Management in Belgium. Operating margin was €253 million or 16.3% of revenue, improving by 310 basis points led by the strong performance of financial processing, thanks to top line growth combined with the positive cost synergies in line with the plan presented at the time of the acquisition. Merchant services operating margin benefited from transactions volume growth and positive pricing effect in commercial acquiring while in Belgium, the interchange fees structure was changed. Finally, Mobility & e-Transactional Services operating margin benefited from higher volumes in both connected living and e-Ticketing, the division recording €7 million pension one-off during the first half of the year. Next slide presents the performance by geographies. Almost all business units grew organically. Germany was by plus 1.6% with the steady acceleration through the year fueled by new contracts in Business & Platform Solutions as well as in Big Data & Cybersecurity while Infrastructure & Data Management was impacted by the revenue evolution of Unify. North America was plus 1.1% benefiting from the migration of several large customers who had cloud in digital work place and also with positive diversification to Big Data & Cybersecurity and to Business & Platform Solutions. The business unit was also impacted over the year by Unify. France organic growth reached plus 0.7%, driven by contract ramp-ups in Infrastructure & Data Management in particular for hybrid cloud orchestration. UK & Ireland was up by plus 1.2% deriving from new businesses in Atos Digital Transformation Factory and the strong dynamism of Big Data & Cybersecurity sales. Benelux & The Nordics, closing the year at minus 0.8%, a significant improvement compared to the performance recorded the year before minus 7.3% thanks to the turn-around of Infrastructure & Data Management activities. Other Business Units also positively contributed to the Group revenue growth, thanks to a sustained activity in most of the countries for all divisions. I already commented Worldline. Global structures costs reached €79 million, a decrease by €17 million compared to previous year at constant scope and exchange rate, reflecting the continued efforts in costs optimization and a better monitoring both in procurement and real estate costs. All the business units strongly improve the operating margin rate except the U.K. due to cost reduction and pension one-offs decrease. Indeed the pension one-offs was recorded within the U.K. for €21 million in 2017 versus €41 million in 2016. The total headcount on the next slide was 97,267 at the end of 2017 compared to 100,096 at the end of 2016. Just 1,100 join the group on the acquisitions realized in 2017 of which circa 400 in Worldline, 360 in North America from healthcare consulting firms, 200 in France from Imakumo and 110 in the U.K. from Engage ESM. Excluding those Scope effects, total headcount decrease by minus 3.9% over the year these translates to Group hiring adaptation in anticipation of the implementation of automation and the focus on digital transformation skills. The Group pursued the digital training and reskilling of its teams as Thierry already explained. Hiring was closed to 13,000 staff in the group pay structure 5,000 staff. Attrition slightly decreased 11.7% compared to 12.3% in 2016. In offshore countries, the attrition was 17.8% compared to 19.1% in 2016. I will now comment the cash flow figures on the next slide. First and foremost, OMDA improved from 2016 to 2017 by 40 basis points more than the operating margin and by 60 basis points more if we take out pension one-offs from our achievements in 2017. These reflects among others the significant reduction of the net releases for provision. Cash out for reorganization, rationalization and integration was €157 million in line with the target of 1% of Group revenue plus the cost to generate the synergies with the Equens. CapEx totaled €526 million representing 4.1% of revenue, compared to 3.7% in 2016 materializing the investment made both in Cloud architectures and in payment platforms. This capital intensity is broadly in line with our medium term average. Change in working capital was minus 25 million, in line with growing activity in particular in the public sector. Tax paid was minus 133 million, only slightly above of 2016, thanks in particular to the continuous consumption of our tax policy carried forward. Cash-out for financial costs was minus 24 million. Finally, other items totaled minus 30 million, compared to minus 40 million in 2016. As a result, the Group free cash flow totaled €714 million and increased by plus 25.4% compared to €569 million in 2016. The operating margin conversion into cash increased from 50.8% in 2016 to 55.3% in 2017 in fact 56.5% excluding pension one-offs. We are on track towards the circa 65% targeted in 2019 with circa 60% cash conversion this year. Turning to the net cash position on the next slide. Net cash position stood at €329 million at the end of 2016. Free cash flow reached €714 million as I've just commented. Net acquisitions and disposals in 2017 amounted to €403 million, mainly related to the acquisitions made by Worldline and the three consulting companies acquired in healthcare in the U.S. Capital increase, mostly related to proceeds from the employee share plan totaled €38 million in 2017 compared to €28 million in 2016. In 2017, the Group performed a share buy-back program for €59 million to deliver its performance share program. The cash-out resulting from the payment of dividend in 2016 results was €168 million compared to €47 million in 2016 in line with the increase of the dividend per share and the full payment in cash while in 2016 shareholders could choose the options to be paid in share. Finally, mainly due to the U.S. dollar decrease versus the euro, foreign exchange rate fluctuation effect on debt or cash in foreign currencies totaled minus 144 million. As a result, Group net cash position as of end of 2017 was €307 million, broadly stable compared to the end of 2016. Let's now move to the full P&L. I already commented revenue and margin. Operating income reached €875 million in 2017, resulting from the following items. Costs for staff reorganization, rationalization, and integration amounted to €163 million in line the target of 1% of Group revenue plus the cost planned to generate the synergies with Equens. Amortization of Purchase Price Allocation of acquired companies represented €109 million compared to €106 million in 2016. The amortization of the equity based compensation plans amounted to €86 million compared to €50 million in 2016 in line with the Group scope increase, the stock price increase and the achievement of the performance condition. Other items amounted to minus 59 million compared to minus 27 million in 2016 excluding Visa share. In H2 2017, following the acceleration of significant cyberattacks such as WannaCry and NotPetya as well as to prepare a faster implementation of GDPR, the Group ran specific programs to reinforce its skills. These exceptional efforts amounted to approximately €20 million. The Group also decided to settle several longstanding litigations and incur expenses related to specific early retirement for effective tenure and €10 million. Net financial result was a charge of €62 million compared to €55 million in 2016, including the interest costs of pensions and the two bonds issued mid-2015 and in October 2016. Total tax charge was €149 million, representing an effective tax rate of 18.3%, stable compared 2016. As a result, net income was €665 million, plus 14.5% compared to 2016 excluding the one-off sale of Visa share. Non-controlling interests amounted to €64 million and were related to the minority shareholders in Worldline. Therefore, the net income Group share reached €601 million, plus 11% compared to 2016 excluding Visa share. To conclude with the net income on the next slide, since 2014, we managed to more than double the net income. The basic EPS Group share was in 2017 €5.72, plus 9.3% compared to 2016 excluding Visa share and diluted EPS Group share was €5.70, plus 9.4%, compared to 2016 excluding Visa share. Normalized EPS Group share was €8.24, plus 9.3% compared to 2016. The next slide shows a simplified Group balance sheet showing continued strong financial structure. Let me just underline on the page the reduction by circa €200 million of the pension deficit despite the Group scope increase. In addition, as you may know less than 25% of our pension liabilities have funding obligations which is a key feature in our industry. On the next slide, let's see together how we build the bridge for the operating margin improvement from 2016 to 2017. Obviously, all the figures which are shown here are only estimated figures to provide a sense of quantitative impact. The same applies for free cash flow on the next slide. So, we start the bridge from 10.0% operating margin in 2017 excluding pension one-off impact. Then we have the 12 month effect of the acquisitions, impact of CBC and the impact of the foreign exchange circa minus 10 be the basis points each of them. Then confirming what we estimated and communicated at the time of the Q3 release plus 50 basis points from IFRS 15 effects. This leads to a pro forma 2017 operating margin at 10.3%. Now, let's look from the business standpoint. In Infrastructure & Data Management, we continue to run the transition to the cloud into roll out automation which would materialize by 10 basis points contribution to Group operating margin. In business and platform solutions, the main profitability drivers this year are still the right program on application management services and optimization of workforce management leading 2 plus 20 basis points contribution. Big Data & Cyber Security would contribute by plus 5 basis points to Group operating margin through it continue expansion within the Group scope. Finally, Worldline is expected to contribute by plus 15 basis points, pursuing program on Equens benefiting from growth between 5% from 7%. All in all, this leads to the objective set by Thierry earlier 5% to 11% operating margin in 2018. Finally, let's go through the bridge of free cash flow to summarize the main levels. Starting with €714 million of free cash flow in 2017, we first add €5 million from the acquisitions made last year on top of free cash they generated in 2017. Then the main item contributing to free cash flow expansion is of course the operating margin increased by €70 million. Then we have some smaller amounts to complete the bridge. Net of depreciation decreasing by another 15 million, CapEx, net of depreciation reducing by 10 million after some specific investment in 2017. Reorganization, rationalization, and integration cost reducing by €10 million showing a continuous improvement. Tax with an additional €25 million due profit differed tax increase and some timing effect between 2017 and 2018. Overall, we expect to increase the conviction rate at 60% this year to our 65% target for next year. Now, Patrick, the floor is yours from Dallas.
Patrick Adiba: Good morning. Patrick Adiba speaking Dallas. And I will comment on the commercial activity of the year. Specifically our strong progress with Atos Digital Transformation Factory, the total Group order entries reached €13.9 billion in 2017, it represents a book-to-bill ratio 110% for full year and 123% for the last quarter. In line with this positive evolution of Atos commercial activity, the full backlog at the end of December amount to €22.7 billion, representing 1.8 years of revenue. The full qualified pipeline was €7.4 billion at the end of December, representing 7 months of revenue. These results puts our commercial activity on track with our 2018 targets. On the next slide, I would like to focus on top accounts that is one of our growth engine. Since the beginning of the implementation of our go-to-market program to boost our organic growth, our top customers have always been a focus with objectives to increase our market share with each of them and to cover in them in their digital transformation. As the 200 top customers grew faster than the rest of the Group, the win rate improve by plus 5% in 2017 to achieve plus 53% win rates, thanks to a higher rate of customer satisfaction and intimation. The number of customers generating more than 50 million per year increased by 20% and the cross selling in those accounts is increasing. In 54% of the accounts, we are selling at least solutions from three different divisions. On the next slide, you can see the progress made in selling out Digital Transformation Factory, on contract with a target of 40% of our revenue in 2019. The Digital Transformation Factory is a growth engine all our cloud and digital business and the growth engine for the Group. The commercial dynamism was strong and we reach for the four pillars of Digital Transformation Factory, the book-to-bill ratio of 120%. The adoption by our customer has been immediate with the high level of commission in terms of value creation. Digital Transformation Factory represent 23% of revenue in 2017 delivering a strong increase. In addition the platform business in detail operation in our four division of the group is growing fast too. I would develop recent wins in the pillar and in all the details solutions in the next slide. Let's start on the next Slide 39 with the Canopy Orchestrated Hybrid Cloud Henkel. The customer had a digital vision and strategy to modernize the datacenter landscape, but needed a partner with a knowledge and experience to see this vision as part of this journey. Atos is developing the existing datacenter landscape with a share profit cloud providing Henkel with the foundation to run and manage all their applications easily and flexibly. As European leader in managed services, Atos is one of the few companies with a company outsourcing track record, understanding that intelligent change management and strong governance structure provide a successful implementation of complex transition. Moving to the next slide and looking at Atos Codex. We want to comment win with the Earth Observation Services, sales of data, value added service and applications related to Earth Observation are undergoing a remarkable growth in all markets and the European Commission was looking for a partner to deliver Copernicus data information access services CIAS. Atos will lead a consortium that is responsible for integrating, delivering and operating the cloud platform that we integrate specialized that our sources. This new platform will make the data for the European Union constellation of sentinel satellites and from data providers much more accessible. Atos were selected among four consortia to deliver this platforms, thanks to our global reach, the experience of the consortium in the sector and for offer which build on our previous Atos investments. On the third pillar, we are rolling out in six airports in Thailand, as a Suvarnabhumi Airport has the capacity to accommodate up to 245 million passengers and 3 million tons of cargo per year. With the objective of being the word smartest airports and intense competition from regional airports such as Chad Chiang in Singapore and the Kuala Lumpur, Malaysia. AOT was looking to modernize the technology airport uses. Atos has been working with it for long time from the initial AOT system implemented, the application maintenance and the legacy system. Atos help AOT for the transition to Esquire rolling out on six airport plus we provided additional solution to help AOT in their vision from mobile application, web portal, top governance, risk and compliance, business intelligence et cetera. Atos have to compete with other 19 system integrators and outsource solid with the competition for the following reasons. Leverage industry and system basic experience, the solo understanding of AOT business priority, business transformation objectives and decision making criteria and experience partnership with [indiscernible] which is the renewed air force strategic solution. Strong collaboration between sales and delivery team has been essential to secure the swings. Finally, on the next slide, on Big Data Solution & Security, for European multinational luxury were entering the GDPR compliance as part of the large big data project. In the course operation of the global, the customer needed to ensure that compliance with GDPR was beat into the project, especially why personal data management becomes a key business asset for luxury brands. We provided a complete data protection reading its assessments allowing the customer to implement privacy by designs and having a global personal data from a security perspective. We went through end-to-end approach to GDPR. Moving to the next slide and to conclude this presentation, I would like to give you an update on the actions initiated in North America. Here, this is a matter of top line, not cost base even if obviously we keep working on it and give a strong profitability. So the main actions are clearly around sales deficiency and first on sales organization. I am implementing the one which for each topic sales of one sale is given one delivery, this will be deployed across the regions for all the key account in North America. In the organization, I have decided to separate cross selling industrialization from developments of euro in order to maximize the focus and the win ratio. I now have one dedicated head for each of the two approach. We will also use the same method as we did the group level. I plan as a contract to align resources, focus on Digital Transformation Factory and Solutions, operational data management with sales force, increase as a joint market with our partners and increase the customer satisfactions and setting it up as a main priority for the entire North America organization, zero destructor and exceed customer expectations mindset. For the development of [indiscernible], we are industrializing the process large deals with the dedicated teams and tension scheme for a general bonus scheme to very specific sales commissions. Atomization, I transfer some of the UK, our sales operation champion being very successful in multiplying by three UK pipeline in three years, they will now from us to growth our U.S. optimization performance turnkey as around 5% and to more to the UK standards which is at about 10%. Then I want the team to focus on three main commercial levers. In Big Data & Cybersecurity, we leverage the 2017 success with a gross target of €60 million in 2018 versus 2017. In the Healthcare sector, we are currently finalizing the integration of the Healthcare firms that we acquired at the end of 2017 and we are in a position to deploy these new expertise to a Healthcare ITO customer base. We have here some clear target to develop large transformation project in Healthcare. Finally, we unified communication collaboration. We are working on stabilizing the top line in 2018 and to sign new deals notably with the next generation 911 offering which with some very large UACT. In summary, the organization is now in place. The objectives have been distributed which stands for execution. This concludes my presentation. Eric, the floor is yours.
Eric Grall: Thank you, Patrick. Let me go now to Slide 45. First, let me share with you the main program we are undergoing to secure our target operating margin improvement or roughly 50 basis points to roughly 2017 to 2018 consistent with our three year spend trajectory. The once we've following close to TOP program plans and the execution since 2009, you should be familiar with this chart. It shows our operating margin bridge and the main levers to deliver these improvement. First, as we did very well in 2017, we start offsetting our salary increases in the years to our work force activity, management, graduate hiring, and ongoing offshore. Then we faced the well-known price erosion and price concisions as headwinds together with risk that do materialize in some contracts as we go through execution. This is part of our life. We do compensate the gains these headwinds and further improve our growth base. We have service of levers fully orchestrated as a TOP program. First, our annual procurement savings on all dimensions, hardware, software, labor and services. Then, our real estate optimization year after year, complemented also by our productivity activities in delivery and production, thanks to automation, lean and end-to-end process optimization. Finally, in 2018, we are driving with a full effect in this year, three initiatives that we launched in 2017. Number one, the continued execution of our program in B&PS, more details in a minute. Second, our global IT Transformation by applying to ourselves our Digital Transformation Factory levers. And third, new initiative in and further reducing our SG&A cost, more details also to come in the following chart. With all these strategies driven throughout the Group, we are confident in our trajectory to deliver the margin improvement in 2018. Slide 46, as most of you know improving the operating profit performance of B&PS business is a key element of our previous plan. We launched early 2027 a new initiative called RISE to industrialize our B&PS application services. Move to model for our larger accounts, integrated tools and methods in one platform. All our production platform across all delivery centers, accelerate deployment of automation and create an integrated network of Industrialized Delivery Centers. By executing on these strategic objectives, we are enabling delivery savings called automation, industrialization, better planning management, increase of showing and further labor optimization. In 2017, RISE contributed to a significant part of our B&PS profit improvements as Elie highlighted to you and will continue in 2018. Slide 47, this chart, next chart is also now illustrating the main levers exercise in our new TOP initiatives to improve our SG&A cost even further in 2018 and flow the associated savings to our bottom line. We do exercise a combination of process automation across geographies, significant Robotization and Automation in our key functions such as HR and finances. We significantly enhance our online sales service tools to make more services such as reporting and internal services available to our people, divisions and teams. This is on self-service capabilities automated fully in the background. And finally, we take full benefit also in 2018 of our improved sales operation and process optimization following the successful roll out a closer group in 2017 of the new sales force in capabilities. Slide 48, let me know share quickly, give you some update on our automation program starting with ADM division. In ADM, we have now 263 accounts covering a very significant part of our IDM revenue base where we are deploying our automation levering the full speed deployment. First IPsoft and Arago in the cloud, datacenter space and networks. Second, ServiceNow for service request and catalogue management automation. Third, Atos Virtual Agent and chief automotive in our digital replace. And last, Clickfox for real time journey analytics. Across these four streams our automation catalog will double in H2 2017 versus H1 2017. Our plan is to increase the number of BOTS in IDM in IDM to 1400 by the end of H1 2018. Finally, we are now also reaching an average automation of 46% in resolution across these 263 accounts with the best-in-class now over 70% in fact close to 75% when automation has been fully deployed. Let me also on the next page, Page 49, give you an update on the poise of our automation in two other divisions namely B&PS and BDS. For B&PS, our highest consolidation to industrialization and automation will remain our key lever to increase customer expense and high excellence. In Q4 2017, we have deployed automation in 37 more accounts with a special focus on our top global customers. We are successfully deployed in B&PS over 2000 BOTS across our customer base and we expect to cost the 3500 BOTS by the end of H1 2018. Also our Atos Intelligence Automation platform is now leveraging advanced virtual language processing as well as deep new networks into platform, where in pulled accuracies in teaching and learning the brain from 60% to 0% for specific task as an example in application management. In BDS with introduction of our first Perspective Security Operation Center in 2017, we are now also very significantly progressing automation into daily operation of our security activities. Leveraging Artificial Intelligence the Perspective SOC also viable and made response to 70% of incoming security incidence. And finally also in BDS, for our hardware and product management, we have also implemented Robotics for automated component obsolescence management as an example in manufacturing levering specific algorithm. It has allowed in BDS manufacturing to divide by five the associated human activities while improving quality and creditability. Now back to you Thierry for our conclusion.
Thierry Breton: Thank you, Eric. So let me conclude with our priority for 2018. First, thanks to the significant investment that we did to create our technology. We have a strong momentum in all digital transformation businesses as we are confidence in our customers in the big data and we secure it. We intend to further accelerate industry in 2018 and that's why we continue to massively enhance the digital human capital of Atos with our digital program and confidences building program and by being high selective in our recruitment. So we want to bring more value to our customers, thanks to the full allowed of Artificial Intelligence in all of offerings notably in automation, robotization, cybersecurity and of course Atos product. Third, we continued to have on our ongoing TOP transformation program which is part of our G&A and we are deploying the new TOP transformation program to deliver operational profitability. And finally, where we are offering our dynamic acquisition strategy which is a priority for us and for our Board of Directors with clear focus on large acquisitions and future part also to align ambition to consolidate the European industry. All in our, we are committed to deliver stronger financial result in 2018 fully in line with our 2019 targets. Thank you all for your attention. And we will start now the Q&A session.
Operator: Thank you. [Operator Instructions] We will take our first question from Laurent Daure form Kepler. Please go ahead.
Laurent Daure: Yes, thank you, and good morning, gentlemen. I have a couple of questions. The first is I appreciate the plan you have in the U.S. and have remind that you were planning to return towards 5% growth but do you think you have the right mix to achieve those targets or do you think this will require an acquisition to go further to what's system integration or consulting activity in the region? The second question is also regarding the U.S. apart there is an acceleration of the move to big client from a large number of customer, so do you see this as a risk to your operations? And my final question is, on your comment on the automation and evaluation of headcounts, in which counties do you manage to reduce headcounts, thanks to the automation plan and how easy to do to achieve those targets with the unions? Thank you.
Thierry Breton: For your question, so for the first one, no, I want to be very clear. Today, we have a rally in the U.S. the perfect mix in order to achieve my ambition. And I just want to repeat what we have as an ambition and again I am again very pleased with the job that Patrick is now doing since three months in Dallas. The problem that we had in U.S. that we are not cost selling enough all our offerings but we put everything in place. And for me after having leaving the time to Patrick to roll out all these, yes, I expect the target that you give to appear on this scope as early as in second half. But this doesn't mean that as you know we have very consistent acquisition strategy in our company globally of course and we are contemplating big acquisitions. But also locally and also that in the U.S. we may see there are some interesting targets. But I don't want to be clear to give you the feeling of or give the feeling to the team that we need a new acquisition to achieve our target. We can definitely make the target with our on scope. And Patrick is absolutely - and his team absolutely convinced with this. So that's for the first question. Moving to the cloud I will give this to Eric, but absolutely not risk, so I think it will be totally misleading to believe that it will put us at risk. It is controversy a fantastic opportunity. Eric?
Eric Grall: Yes, Thierry. That effectively increase of public cloud usage means in fact accelerate more toward hybrid cloud solution and we see this growth in cloud as an opportunity to us combining our private cloud capabilities with public cloud and offering end-to-end solutions full managed for our customers. So as Thierry mentioned this is more an opportunity than the risk as we look at it today and for the future. Regarding your question on automation in various counties, let me add that we see first the impact happening mostly in our near shore and offshore locations but thanks to our risk programs that we launched proactively. We are able also to reduce load and work of our people towards higher level skills. And hopefully managing that of course the value dimensions of the centers.
Thierry Breton: For your third question. Elie, it's of course everywhere but maybe we just especially focused on offshore.
Elie Girard: Yes, it's across the board with including indeed in offshore location where the automation is very intense and then ramping up very rapidly and wherever and of course everywhere onshore.
Laurent Daure: You stick to 1% of restructuring right?
Elie Girard: Of course, yes absolutely mandatory, yes, maximum.
Laurent Daure: Okay, thank you.
Thierry Breton: Thank you for the question. Next one please.
Operator: We now take the next question from Michael Briest from UBS.
Michael Briest: Thank you. Good morning. Just in terms of the 2018 to 2018 bridge, I appreciate you know the set down in the base effect from the pension and other things of 2017, but if you achieve the low end of the 2018 ambition to get to 2019 you have to add 100 basis points, it seems quite a big step up, can you maybe talk about what might drive that or do you believe you should be near the middle or upper range in this year? And then just on Unify on the Software & Platform business, I think it was expected to be down in 2017 getting towards flat in Q4, can you talk about the trajectory there and what we should expect for this year? Thank you.
Thierry Breton: Thank you, Michael. I will give the mic to Elie, but Michael, first we never said that our target is bottom of bracket, we just wanted to be frank because again. And to explain this bracket, personally I think you follow us for many years, you should probably believe where I am sending on this target. Elie?
Elie Girard: Thank you, Thierry. Hi, Michael. So on your first question indeed it's a bracket you said the objective is to bracket, the bottom of the bracket. And the second element you need to have in mind in the particular the M&A profile, so it's we are talking about quire rather small effect but we have a slight negative in 2018, but then following further to the restructuring of those acquisitions, the operating margin will rebound in 2019, which explains this profile. Then on the second question which is on B&PS. I think your question was really key to the growth, to the 5% growth to the B&PS finishing up the …
Michael Briest: Sorry, Elie, it was Unify, Unify Software & Platform business.
Elie Girard: Yes, okay. So, yeah, okay, I thought it was about B&PS. So in Unify, Q4 and for the full year, I can tell you that we landed well we said which is that we continuously improve the topline dynamic of Unify Software and that so now called UCC Unify Communication Collaboration with the Q4 which went to stability in terms of top line and we achieved €300 million of EBITDA over the full year. In for 2018, we expect the side growth over the year for Unify Communication and Collaboration.
Michael Briest: Okay. Thanks very much.
Thierry Breton: Next question, please.
Operator: We now take the next question from Stacy Pollard from JPMorgan.
Stacy Pollard: Hi. Thank you. Could you dig in a little bit on France a bit more the growth was weak in Q4, what was going on there and are you concerned that you're losing share or is that something that you're planning to improve through this year? Secondly, just a couple of quick logistic funds, the pension one-off nearly finished just to confirm that and then the tax impact from U.S. corporate tax changes and what should we be looking at for effective tax rate for 2018?
Thierry Breton: Thank you, Stacy for your question. So I'll take the first one and Elie will take the second one. Let me to be very clear with you, I am happy with the performance of our team in France in 2017. They did a very good job commercially extremely active and dynamic and you remember that we were at around 5% in Q3. It is proved that I was expecting this amount at least in Q4 but to be very clear, I was not to remain with my team because it was mainly due to some slippage that we had and mainly for some contract, governmental contract. But I can tell you that we will come back where we need to be exactly deliver of the market as early as in Q1 and also in Q2. That's for the first question. Elie, maybe for the second and third one.
Elie Girard: Yeah, Sure. Hi, Stacy. So on the pension one-offs, we will continue optimizing our pension plans. I think it is part of a duty to do so. What's important is that we have removed the pension one-off effects from the guidance from the objectives we give you since 2017. So we told you in 2017, our operating margin target was just at 10%, nearly 10.2% but immediately, we tell you without the pension one-offs, the achievement to be really like-for-like with the guidance we gave you was 10%. With exactly the same for 2018 and going forward. And of course we will continue to optimize our pension plans. There may be other one-off in 2018 but again we really call it that from reported figures to get to the achievement to be compatible with the guidance.
Thierry Breton: We are very transparent here.
Elie Girard: Yeah. Of course, absolutely. On the third question which is on the U.S. Tax Reform. So we believe that the impact effective tax rate should remain rather limited. And most importantly I remind you that we have business overall, but including in the U.S. which is relying not a lot on offshoring capabilities just to give you a few numbers. Our U.S. operations cost base is only 4% from India, only 2% coming for Mexico and only 2% coming from the Philippines. So you see it very neatly our business model which is quite unique in the entire sector, it is not relying very much on offshoring. And that means that our expectation for the entire for the global effective tax rate of the Group is to global overall stability for 2018.
Stacy Pollard: Thanks you.
Thierry Breton: Thank you. So next question.
Operator: We will now take the next question from Amit Harchandani from Citigroup.
Amit Harchandani: Good morning, everyone. I'm Amit Harchandani from Citi, and thanks for taking my questions. Two if I may. The first question is really around the UK, could you maybe comment on the grow profile adjusting for re-insourcing of the BBC contract and also if you're seen any signs of weakness in the private sector, are you quite early to lag that I remember last year? And secondly with respect to introduction of automation particularly in the traditional business, what are some of the competition pressures you're seeing around pricing, to what extent are these benefits being passed on to customers and to what extent do you believe can you hold on to the benefit yourselves? Thank you.
Thierry Breton: So, I will introduce the first one and then Elie maybe you may comment on EBIT and Eric you maybe take the second one. First, I would like to tell you that we are very pleased with our management team in the UK and I should tell you that even proud of what we achieved we all know that UK is a in a very difficult situation I mean not predictable situation and especially in the finance industry. But to be clear you have seen our result and this is really to be put as a credit of our team. To give you a profile of what we should do in the UK I expect to continue to be in a very declining environment to be flattish in first half and to be growing over the year which represent I think in this environment a pretty stronger versus all our competitors. So this being said if you could maybe be most specified. And by the way beyond your question it is true that we were able to manage the decrease of the BBC contract when we keep it for the BBC contract and to find new contract to have new win, big logo in order to composite which is again to be put other credit of as the team.
Elie Girard: I think you said you told Thierry just a bit more detail. Number one I remind as a background that we won the entire scope in lots which what back for the renewal by BBC. So we won all of them. The only thing is that BBC has reduced the command line soft part of it, but we managed to win again we renew all which were put in competition. But therefore since in sourcing, we have indeed down. As Thierry explained there is a very strong commercial activity and dynamism in the UK despite of the environment.
Thierry Breton: As a way they are so good that we will have now one of them coming to help Patrick.
Elie Girard: Absolutely. And for example the team won the deal which is very important deal for the UK and for the Group at the end of the year 2017. This is one of the great example of wins of new logos in private sector diversifying the activities of the UK and compensating or participating to the compensation of the harm down that we would be facing as you know until mid of 2019 from the BBC re-insourcing. There and I think here we can see that there is more to come in Q1 and Q2 in terms of commercial wins in the UK.
Eric Grall: Okay. So let me answer to your question regarding the automation and on the traditional space and the price pressure. As we highlighted already few times, we are fully embarking in our pricing for looking to customers and in our contracts, the effect of automation and associated price reductions. We also leverage the automation and this is part of our three years plan fully embarked, the associated improvement to fuel our improvement in operating margin. So we driving on the in these two dimension, which means of course and Elie highly pointed it to you that with that price question which is logical as we embarked for looking automation into the pricing, we also need to gain market share in euro or extend our footprint in existing customers. Elie took the example of Aviva which is a brand new logo for us where we're going to be significantly increasing our top line in the UK but also I could take the second example, we are also thanks to our hybrid cloud solutions, we are able to displace competitor and get into that datacenter operation to transform it towards hybrid cloud. I could also take this as an example where we were very present in the B&PS space but we are able to win the digital replace displacing two key competitors from there go our revenue in the digital replace space and therefore offset the ongoing price erosion that we see normally now business, thanks to the new market share we are able to gain in other contacts.
Amit Harchandani: Thank you, gentlemen.
Thierry Breton: Thank you. The next question.
Operator: We will now take the next question from Gerardus Vos from Barclays.
Gerardus Vos: Hi, thanks for taking my question. Two of me. First of all could you just discuss how you strategically see the balance between inorganic and organic growth? It looks that there is a bit of growth coming back in the system where a broad upgrade cycle around digitalization, we get imply that you have to invest a bit more over the coming year or to kind of see a step up in organic growth? And secondly what do you see on salary inflation and churn at the end of last year? Thanks.
Thierry Breton: Elie will take the question, but overall I just want to remind you that and I cannot speak more of course you will understand, but we are very active on acquisition and figure that we present are of course at constant scope without any acquisition, would be the same scope in the next year or we of course we will see but we are working full actively. Elie?
Elie Girard: Hi, Gerardus. On your first question on the organic investments in addition to the downturn inorganic part, we remain around 4% of CapEx overall revenue. This a medium term other average and we would stick to do this, so then you can have a little plus a little menus, but we're very close to this medium term average, which is quite a lot compared to the rest of the sector of the IT and which is an envelope, which is now more than €500 million, which allows us to invest a lot in the cloud infrastructures in the Cybersecurity technologies and of course in the payment platforms. And on your second question, we do not say the search of salary inflation in particular, but I want to add two key features. Number one, our model which has been successful so far is that whatever the salary inflation we can say exactly with workforce management and so on and this along with that and I think Eric presented again. And you talked about the churn, I underline that the attrition has decreased very much under control including allocation from 2016 to 2017.
Thierry Breton: Thank you all. I think this end this session. So in a nutshell, a good 2017 year. Very proud of what the team have achieved and the very stronger perspective for an exciting 2018 year with and I'm pleased to say reinforce a little bit younger management team. So fully ready to deliver all expectation and the dividend from our customers. And from my side pretty exciting when I see the pipe of potential acquisitions. So this end this session and I will be happy to drive for Q1 revenue goal in few weeks. Thank you all.
Operator: Thank you. That will concludes this conference call. Thank you for your participation, ladies and gentleman. You may now disconnect.